Operator: Welcome to RPM International’s conference call for the fiscal 2010 third quarter. Today’s call is being recorded. This call is also being webcast and can be accessed live or replayed on the RPM website at www.rpminc.com. Comments made on this call may include forward looking statements based on current expectations that involve risks and uncertainties which could cause actual results to be materially different. For more information on these risks and uncertainties, please review RPM’s report filed with the SEC. During this conference call references may be made to non-GAAP financial measures. To assist you in understanding these non-GAAP terms, RPM has posted reconciliations to the most directly comparable GAAP financial measures on the RPM website. Following today’s presentation, there will be a question and answer session at which time if you wish to ask a question, you will need to press “*” then “1” on your telephone. At this time, I would like to turn the call over to RPM’s chairman and CEO, Mr. Frank C. Sullivan, for opening remarks. Please go ahead sir.
Frank C. Sullivan: Thank you Wanda. Good morning and welcome to the RPM International Inc. third quarter conference call. With me this morning on the call is Kelly Tompkins, RPM’s Executive Vice President and Chief Financial Officer and Barry Slifstein, our Vice President and Controller. We are pleased with our third quarter results. In fact we believe that they are somewhat understated as an odd tax rate in the quarter and the first real impact of new acquisition regulations for acquisition costs which now require all costs to be expensed rather than capitalized, cost us $0.02 to $0.03 in the quarter. Most importantly, we believe that the severe winter weather experienced throughout the United States in February dampened what otherwise would have been stronger revenue growth. Our marked results, which show accelerating growth in both our industrial and consumer businesses, bear this out. So to provide you with details on the quarterly results, I would like to turn the call over to Kelly Tompkins.
P. Kelly Tompkins : Thanks Frank. Good morning everyone. I’ll review the third quarter in some detail and then provide a few year-to-date comments before I turn it back to Frank for some closing remarks and your questions. Third quarter results consolidated net sales increased 4.9%, quarter over quarter to $667 million including 5.1% from favorable foreign exchange and 1.9% from acquisitions with organic declines of 2.1% partially offsetting these increases. Industrial segment net sales of $457.7 million accounted for 69% of total sales, an increase 6.7% over last year’s third quarter. Favorable foreign exchange and acquisitions of 6.1% and 2.8% respectively were partially offset by organic declines of 2.2%. Consumer segment sales of $208.9 million improved 1.3% quarter over quarter with favorable foreign exchange contributing 2.9% and acquisitions 0.2% partially offset by organic declines of 1.8%. Consolidated gross profit was 39% for the quarter up from 36.9% for the same quarter last year. Industrial and consumer segment gross profit margin of 40.2% and 36.2% respectively, improved from last year due to better raw material cost comparisons and the benefits of improved plant operating leverage attributable to last year’s cost reduction initiatives. Consolidated SG&A as a percent of net sales decreased to 38.6% of sales from 41.8% last year to, again, the prior year cost reduction actions. Industrial segment SG&A as a percent of net sales decreased to 39.9% from 43.6% last year due primarily to prior year cost reduction actions combined with lower distribution and bad debt expenses. Consumer segment SG&A decreased to 30.3% from 31.5% last year on slightly higher sales and a lower cost structure. Corporate other expense decreased year over year to $10.9 million from last year’s $13.3 million due to lower health insurance and environmental related expenses which were partially offset by higher pension expense. Consolidated EBIT dollars increased to $2.6 million this year from a loss of $31 million last year due principally to better material cost comparisons and continued benefit of cost reductions across both segments. Interest expense increased from $12.4 million last year to $15.8 million due to higher average interest rates for the quarter of approximately 6.6% compared to 4.7% last year offset by lower average borrowings in the quarter. With the new $300 million 6.125% bond that we issued last October, substantially all of our outstanding debt at the end of third quarter is fixed. Investment income in the quarter of $1.8 million improved from a net expense of $1.1 million for the same quarter last year, mainly due to the $4 million of other than temporary impairment charges incurred last year compared to only about $100,000 of OTTI charges this year. Tax rate for the quarter of 17.2% was impacted primarily by changes in the mix of earnings jurisdictionally which had a significant impact on the quarter since the pre-tax loss was minimal compared to the entire year. A net loss of $9.4 million or $0.07 per share for the quarter was substantially improved over last year’s loss of $30.9 million or $0.24 a share. Briefly on a year-to-date basis sales are down 2.8 % with organic declines of 4 % virtually offset by foreign exchange of 0.6 % and acquisitions of 0.6 %. Consolidated gross profit of 4.17 % year-to-date is up from 39.6 % for the same period last year. Consolidated SG&A improved to 32.8 % from 33.3 % last year. EBIT dollars and margins increased 37.1 % to $216.1 million or 8.9 % of net sales this year from $157.7 million or 6.3 % of the net sales last year. I’ll wrap up with a few comments on the balance sheet and cash flow including asbestos data for the quarter. For the quarter ended February 28 we had dismissals and or settlements of 644 cases compared to 228 cases compared to the same period last year. Total asbestos payments of $19.9 million for the quarter included $12.9 million of indemnity and $7.0 million for defense which compares to $19.8 million last year of which $12.9 million for indemnity and $6.9 million was incurred for defense. As of the end of the quarter, we had a total of 10,329 active asbestos cases compared to 10,281 cases at the same period last year, with new case filings for the quarter of 442 versus 461 new case filings in last years’ third quarter. Our asbestos accrual at the end of the quarter stood at $432.9 million. CapEx year-to-date at $14.1 million compares to $37 million in the same period last year which tracks to our full year fiscal 2010 CapEx budget of $25 million. Depreciation and amortization expense on a year-to-date basis was $63.2 million, slightly lower than last year’s $64 million. Accounts receivable day sales outstanding decreased 5.1 days year over year and our days of inventory decreased 6.4 days year over year as both segments maintained tight inventory controls. Cash from operating activities through 9 months provided $188.9 million compared to $134.6 million last year with the improvement attributable to year over year higher net earnings as well as contribution from balance sheet accrual changes including compensation and benefits and other accrued liabilities. With free cash flow – operating cash flow CapEx and dividends at $96 million this year compares very favorably to the $21.4 million of free cash flow last year. At the end of the quarter total debt stood at $908.1 million compared to $983.2 million a year ago which is a $75 million lower year over year. Our net debt to capital ratio improved to 35.1 % compared to 42.8 % last year and total liquidity at $696 million which includes $256 million in cash and $440 million through committed credit facilities. With those comments I’ll turn the call back to Frank and look forward to your questions, thanks.
Frank C. Sullivan : Thank you Kelly. We are seeing a number of indicators that the economy is steadily improving. These include warranty, bad debt expense, and healthcare cost that are trending down year over year in most all of our businesses. Our OEM related businesses including wood finishes, powder coatings, [our CopCo] protective coatings and DayGlo pigments, for example all seem to be in full recovery mode, with double digit revenue growth. Our performance coatings group of companies who because of a greater geographic presence and more diverse end market mix have been able to fight and manage their way through the recession with relatively flat results, all seem to be experiencing a return to growth, and our consumer businesses are continuing to generate, excepting for the weather impact in the last few months, modest but steady revenue growth. The only RPM businesses continuing to battle declining results are those building solution group companies such as [Driving Euclid Chemical] and certain product lines of TremCo sealants that serve predominantly North American commercial and construction markets. We do not expect a return to growth in these businesses until late in calendar 2010 or early next year. As Kelly mentioned, cash flow is strong at an all-time record $189 million up 40 % from last year. This combined with a strong capital structure will allow us to continue to pursue acquisitions similar to those completed in the quarter, including two small product line acquisitions by Rust-Oleum in Europe and the acquisition of Universal Sealants which joined RPM in January and will operate as part of our performance coatings group. Combined, these factors lead us to believe that we will finish our 2010 fiscal year, the year ending May 31, 2010, towards the upper end of our current EPS guidance of $1.30 to $1.35 per share and that our 2011 fiscal year will be another year of sales, earnings and earnings per share and cash dividends growth for RPM and RPM shareholders. That concludes our formal remarks. We will now be pleased to take your questions on our third quarter results and our outlook for the balance of our 2010 fiscal year.
Operator: (Operator Instructions) Your first question comes from Rosemarie Morbelli with Ingalls & Snyder.
Rosemarie Morbelli - Ingalls & Snyder: Congratulations on much better quarter than I expected. Was it better than you expected Frank? Did you see any change in the trend based on what your expectations were at the end of the second quarter and what actually developed during the third?
Frank C. Sullivan : Rosemarie, as I indicated in my comments, the disappointing thing about the quarter was the impact of severe weather, particularly in February. We had a pretty interesting winter across the country in February and it tended to hamper growth in a number of our businesses like TremCo Roofing or our consumer businesses. Our March results which obviously are completed indicate that that’s the case because we are generating good revenue growth across almost all of our businesses. And so the quarter came out as to be expected. A couple odd items – we had about $2.5 million of expensed acquisition cost, which historically would have been capitalized, and that’s according to new accounting regulations, so that will be the case going forward. But in general the quarter came out how we expected and I think could have been stronger and we’re seeing that expected strength I hope continue all the way through our fourth quarter, we’re off to a good start.
Rosemarie Morbelli - Ingalls & Snyder: And was there any specific items in the – both the consumer and the industrial which affected margins? I was expecting – and I could have been wrong obviously – but I was expecting industrial margins to be a little lower than you reported and then the opposite for the consumer, I expected them to be higher. What was going on there? Anything in particular?
Frank C. Sullivan : Well, I think you’re seeing margins improve in both of those segments. You know the margin impact in our third quarter is obviously the lowest because our revenue base relative to seasonality is the lowest. If we experience the type of revenue growth in the fourth quarter that we hope for, I think you’ll see through a combination of some improvement year over year and a gross margin and a lower SG&A investment as a percent of sales, the type of leverage maybe that you would expect but generally does not show up in our seasonal low third quarter.
Rosemarie Morbelli - Ingalls & Snyder]: Could you talk about the European economy, what you are seeing there? Whether the Greek situation would have an impact on your business in Europe?
Frank C. Sullivan: The Greek situation does not seem to be having any impact on our business. We don’t have much business in that southern, Mediterranean part of Europe with the exception of Italy. The UK is improving. The UK economically, at least from our experience, had the same if not worse impact as the United States, and we see that improving in some of our businesses. In particular our building solutions group, Tremco Illbruck businesses have held up nicely and are doing quite well. I think a lot of that relates to their building envelope and weatherization sealant products. We’ve done quite well in renovation and new construction related to higher code requirements in places like Germany, relative to renovation or new construction around building envelope and energy efficiency. And that has helped us perform better than the overall German market for instance. So we’re seeing pretty good strength – strength is relative. We’re seeing decent growth there, which is different from what we experienced a year ago.
Operator: Your next question comes from Kevin McCarthy with Bank of America Merrill Lynch
Kevin McCarthy - Bank of America Merrill Lynch: Frank, I think you mentioned early on in the call that you were seeing accelerating growth in the month of March. Should we take that to mean, you know beyond any normal seasonal strength, that you would see and perhaps you could provide a bit more color as to the product lines where you know you’re most pleasantly surprised by the trend.
Frank C. Sullivan: I could go first industrial. Our more OEM related product lines and businesses were obviously the first to be impacted by the recession. And they’ve been the first to come out. And so we had some significant revenue declines in the past 18 months. And so you’re seeing a pretty solid recovery there, it’s been building over the last three or four months. And this spring we’re seeing double digit growth in a lot of those businesses. Which I think is a combination of recovering economic activity, some of them are double digit growth but not back to their record levels. But that seems to have been steadily building both in terms of month after month positive sales growth. And most of them an acceleration of that sales growth. Our performance coatings businesses, the Carboline, Stonhard, Fibergrate, Flowcrete, and a lot of their international operations really did a great job through broader geographic diversity and a broader market mix versus the last recession of being able to kind of keep their head above water and I think we’re starting to see – we are starting to see in March those businesses generate some stronger revenue growth. In the building solutions group, in particular Tremco roofing, and in our consumer businesses, I think we’re going to need another month or two to see if this early strength in the fourth quarter is really indicative of the right level of growth or whether some of that is just revenues that were deferred from the third quarter into the fourth quarter because of the severe weather, particularly in kind of New England, the Mid-Atlantic states, the southeast. There were clearly some order flow that was disrupted in our roofing and some of our consumer businesses because of the weather in February in particular. And so hopefully that breakdown between our industrial and consumer businesses and product lines gives you a sense of where we think we’re headed. But March is a much stronger month than we’ve seen but it’s been in most of these businesses a steady of building of revenue recovery in terms of growth.
Kevin McCarthy - Bank of America Merrill Lynch: Okay that’s helpful. And just to follow up on consumer in the quarter I think you mentioned the organic sales growth was minus 1.8%. Perhaps weather was an issue, part of that. But was there also a shelf space impact Frank? If so maybe you could comment on lines and regions and how we should think about that the next couple quarters.
Frank C. Sullivan: No we maintained and/or increased shelf space in almost all of our accounts. You know we had picked up shelf space in the automotive retail channel in almost every major account, small projects and spray paint which is an area of market share gains for us versus 12 or 18 months ago. We are starting to see, and it’s fun to see now, it was a little disappointing, as you recall we introduced some upper-end new products, Universe, [Lit], Rust-Oleum, DAP 3.0 and DAP a year and a half ago right into the teeth of this recession, and so the excitement we had around those wasn’t realized in take-away like we had hoped. That’s changed, and those product lines are moving in the right direction. At a major account we had introduced a kitchen counter repair, refurbishment product line which I believe has a retail of $250-$300. It’s the most expensive kit in the paint aisle and it’s something that we are very excited about in terms of the opportunity for homeowners to remodel kitchen or bath areas to the tune of a few hundred bucks and get a real granite-like high-end look as opposed to the $20,000 and $30,000 and $50,000 makeovers that people were doing pre-recession. So we’ve had a lot of good new product introduction and in fact in some new categories like automotive are picking up market share.
Kevin McCarthy - Bank of America Merrill Lynch: Final question if I may on the corporate line. The 10.9 that you indicated came in a little bit less than what we were looking for you know declining sequentially in year over year, I think you mentioned lower health and environmental. What should we be thinking about there for the May quarter and beyond?
Frank C. Sullivan: Kelly might have some color on that. I think in the May quarter we’re going to see probably some higher numbers there. Our pension costs throughout the year are higher much like other companies that have a pension plan still as part of their retirement program, and that will continue in the fourth quarter. Our compensation costs in the fourth quarter will be higher. Last year we had low or no incentive bonus programs in a lot of areas, whether it was in the field or at the corporate executive level, and in fact reversed some long term equity incentive programs where they were clear they weren’t going to be met. This year we’re hopeful to have higher levels of compensation at year end, not obviously back to where we were a few years ago but certainly higher than where we were last year. So those are the items that I see impacting the corporate other line and Q4.
Operator: Your next question comes from Saul Ludwig of KeyBanc
Saul Ludwig - KeyBanc Capital Markets: With the expense related to the acquisitions Frank, where did that show up? Was that in the gross margin of those certain segments or was it SG&A?
Frank C. Sullivan: It’s in SG&A.
Saul Ludwig - KeyBanc Capital Markets:  Is it industrial or consumer?
Frank C. Sullivan: Industrial mostly. A little bit consumer, but the lion’s share, $2 million or so, was industrial and then the balance was consumer.
Saul Ludwig - KeyBanc Capital Markets: And that goes away I mean unless you make more acquisitions?
Frank C. Sullivan: That’s correct. Those are expenses that historically we would have been capitalized. But now for this quarter, and for all future quarters you know your due diligence expense, any banking fees or finder fees or legal fees, all of those types of fees associated with acquisition, some of which could have been capitalized while being expensed as period expenses. But they are one-time expenses associated with specific transactions.
Saul Ludwig - KeyBanc Capital Markets: Second questions in Tremco Roofing, certainly we understand that the weather has delayed certain repair projects but making it more positive is did this harsh weather cause some of the additional damage that you should see in better businesses then you normally would have had as we move into the spring and summer months? Tremco Roofing, like a number of our other businesses, are businesses that have had a pretty strong result in the month of March, Saul, and we are usually not that demonstrative about a single month or giving that type of caller into our upcoming quarter but it’s some combination of a continuing economic recovery, which we are seeing across enough of our different businesses to start to believe in, and also in some businesses’ case I do think, and Tremco Roofing is an example, deferred shipments or projects completion because of February winter weather which we are seeing picking up in March., but I think that is a business that should have a relatively good fourth quarter. That is certainly our expectation.
Operator: Your next question comes from Chuck Peterson with Morgan Stanley.
Chuck Peterson - Morgan Stanley: Could you talk about your commitment to investment grade as your M&A strategy progresses?
Frank C. Sullivan: Sure, we have long viewed, and I have to qualify this, in normal circumstances which from a capital markets’ perspective was the prior 30 years up until a year and a half ago. We have long viewed kind of a mid BBB to low BBB as the sweet spot of cost of capital for companies like RPM because it allowed a fair amount of balance sheet flexibility while still maintaining an investment grade and the differential and borrowing costs between a BBB rated company and an A or AA rated company was not that much. Whereas if you fell in the junk, both cost and flexibility started to be impaired and so we have been able to manage our balance sheet over the last 30 years between historically a 40% and 60% debt-cap ratio and maintained our investment grade rating. When you look at our cash flow multiples today, you look at our interest coverage multiples, all those are at levels at times the best we have been and we expect that to continue. So it will be our goal to continue to use our balance sheet flexibility and strength to manage our debt-cap ratio in a range and have cash flow ratio as such that we will be able to maintain an investment grade rating and we have always done that. One way we have done that is equity linked transactions, sometimes every one of which was tied with specific acquisitions so that we do not necessarily look at it as diluted but as part of the borrowing and part of the cost of capital costs associated with a larger transaction. Lastly, our sweet spot in terms of acquisitions is really anywhere from $2 million to $3 million product lines that we can buy relatively cheaply and quickly integrate into an existing business. To what we do is acquisitions as large as $200 million or $250 million and everything in between. And so with that appetite and a track record that we have, our outlook and expectations for how we will manage our balance sheet, our cash flows, which continue to be strong, we fully expect to manage our business in the coming years the same way we have over the last 30 years which is to pursue acquisitions, to be disciplined in pricing, to use our balance sheet flexibility and our cash flow all in a manner that will allow us to maintain our investment grade rating.
Operator: Your next question comes from Jason Rogers with Great Lakes Review.
Jason Rogers - Great Lakes Review: I wonder if you could talk about the asbestos reserve and the likelihood of another increase for the foreseeable future.
Frank C. Sullivan: Sure, we have a current reserve of about $433 million and we review that quarterly. That reserve is reviewed by, obviously, us, our actuaries, and our outside accountants and we are comfortable that that reserve, as we sit here today, is appropriate out to 2028. And that is something that we look at every quarter and will continue to do so.
Jason Rogers - Great Lakes Review: Okay and what is your outlook for raw materials for the fourth quarter and going into next year?
Frank C. Sullivan: You know I think the raw material situation is an interesting one. Obviously we have been the beneficiary of some raw material price declines form the peaks of a couple of years ago. Raw material, those declines have stopped. Our raw materials cost has stabilized and there are inklings and hints and efforts at raw material price increases. So far we have been successful in fighting those off and I do not see any raw materials price declines from our current level. But conversely, I think that it will take continued recovery and economic activity and demand before you see anything in the way of significant raw material price increases. Having said that, in terms of trend, it is much more likely that we will be seeing rising raw material costs over the next four to six quarters than anything going the other way.
Operator: Your next question comes from Edward H. Yang - Oppenheimer & Co.
Edward H. Yang - Oppenheimer & Co.: Frank, it sounds like on the raw material side, you are looking for more stability for the year out. Now it looks like the trend might be more in the upward slope. How does that influence your pricing decisions both on the consumer and industrial side?
Frank C. Sullivan: Year-to-day pricings have been essentially negligible and I do not know that rising raw material issues will be a significant impact for us in the fourth quarter. As I just mentioned, I do think that the trend could be up in the coming four to six quarters and naturally we are going to be dependent broadly on demand recovery, not just in our markets but in other markets. And so we will do, in relationship to that, what we have been doing forever and certainly for the last seven which is, where appropriate, pursing price increases and also pursuing raw material sourcing options. There is a lot more raw material options today then there were four or five years ago and some basic chemicals in different parts of the world, and also just some different approaches to various raw materials for packaging. So those are the challenges that we face in those areas. Not a big issue as we sit here today but certainly something that we are ready and prepared to address if it becomes an issue.
Edward H. Yang - Oppenheimer & Co.: And as a reminder, how quickly can you get pricing in industrial and how quickly can you get pricing with the big box retailers and consumer?
Frank C. Sullivan: The ability to get pricing in our industrial businesses tends to be easier because we can change price sheets tomorrow. We have an opportunity to bid project by project and some of our businesses change price structures to distributors or end-use customers and adjust as market conditions dictate. With our major consumer customers, it is more challenging because you sit down with them, explain the reasons for price increases and go through that process and it takes them time to take some understanding and once it is done, you cannot turn around and change your mind a week or a month later. So it is a more rigid process with longer lead times versus our industrial businesses which have the flexibility to change their pricing up or down based upon market conditions and in some cases, based upon the nature of different projects.
Edward H. Yang - Oppenheimer & Co.: Okay and just coming back to consumer, that business has always been somewhat lumpy and this quarter especially due to weather. But it sounds like form your comments that a lot of the volumes that were impacted in the third quarter were more deferred than eliminated and possibly pushed out into the fourth quarter. So in terms of getting a better sense of the trend, excluding the weather impact, what was the volume run rate before the February weather impact and what is the current volume run rate in consumer in March?
Frank C. Sullivan: Including the third quarter, which ended February 28, on a year-to-date basis, our consumer are up 6.1% and I think that is around that number is a pretty good way to think about our consumer businesses on a month by month basis. And if there is any more than that, for instance in the month of March, some of that may have just been deferred revenues from one month to the next.
Edward H. Yang - Oppenheimer & Co.: Okay and just one final question on FX just because it has been so volatile. I think your prior assumption on currency as related to the Euro for example, was something around $1.40, $1.42 or so and currently we are kind of well below that and yet you have reiterated EPS guidance still at the high end of your prior range. Should we interpret that to mean that maybe the FX is a bit worse than you expected but volume and pricing trends are slightly better?
Frank C. Sullivan: I think that’s a good way to think about it.
Operator: Your next question comes from Rosemarie Morbelli - Ingalls & Snyder.
Rosemarie Morbelli - Ingalls & Snyder: Just quickly, when you look at the company of [raw] negative 2.1% and as a combination of volume and price mix, could you split volume and price mix for us?
P. Kelly Tompkins: Rosemarie, it’s Kelly. Through nine months on a consolidated basis, most of that is volume, down about 4.5% on volume with pricing up about 0.5%. And foreign exchange had a moderate impact through year-to-date but obviously it was much more significant in the third quarter.
Rosemarie Morbelli - Ingalls & Snyder: You made the large acquisition in the UK, at least the largest of the three, which is mostly selling into the construction and in fact, structure markets. Why do you say that the economy of the world seems to be improving in the UK as it is in North America? Could you address those two particular markets where you are going to be selling $55 million dollars for some products?
P. Kelly Tompkins: We acquired Universal Sealants from George Paxton and his family, a business that was started by he and his brother. In typical RPM there is a strong management team, which includes one of George’s sons who is staying to run that business. They are the leader in the UK markets in bridge deck coatings, highway bridge deck coatings and expansion joints. They also have both export and local manufacturing growth in international markets, basically a lot of the former UK commonwealth-type countries in different parts of the world. So they are growing in the Middle East and they are growing in parts of Asia and they are… I think the way to look at them is less a commercial construction or industrial construction, and more public and private infrastructure. Bridge and highway, in particular, and those markets continue to benefit globally because there is a huge need that is being funded. And I suppose to a certain extent in the UK, like the US, some stimulus dollars that is finding its way into the public infrastructure, which has helped and will continue to help that business. So it is a very well run business. It is going to be a great and growing part of our performance coatings group and they are in the right infrastructure segments as their results have shown and will show to continue to grow profitably despite these challenging ties.
Rosemarie Morbelli - Ingalls & Snyder: And I do not remember if you shared their EBIT with us?
Frank C. Sullivan: We did not. The only thing that we disclosed was the revenue base, which in dollars, their principal currency is pounds, in dollars it is $55 million. And that was on a trailing basis. We would expect for 2011 fiscal year that that business will demonstrate some nice sales and earnings growth. It should be nicely accretive to earnings relative to its size but we were able to pay for that with existing cash in the UK and Europe.
Rosemarie Morbelli - Ingalls & Snyder: Okay so you are not willing to share the EBIT at this point?
Frank C. Sullivan: That is correct.
Rosemarie Morbelli - Ingalls & Snyder: Okay and the profit lines of small acquisitions of two products lines, Rust-Oleum, which channels do you sell them through and are those products that you can bring into the US?
Frank C. Sullivan: The product lines that we acquired in Europe with Rust-Oleum typically, Rust-Oleum’s business in the European market, historically, has been kind of an industrial MRO distribution business. And they sell that through distributors. They sell that through a very successful catalogue business. And these product lines are principally going into those channels. But Rust-Oleum has done a nice job the last two or three years of establishing a base of business in the UK and growing its base in Europe. As a result of that this year we invested in a new aerosol filling line and we have taken market share form a major competitor and a number of big box equivalents in the UK. This year, 2010 calendar year, we will be introducing those consumer products into continental Europe and so we have been able to establish a base over there. We are investing in that base and really in the last year and a half, for the first time, growing the consumer products – both the products that we have acquired for Rust-Oleum branded products and the know-how that we have developed here in terms of marketing and category management into the UK market. So that is an exciting new avenue of growth for us.
Rosemarie Morbelli - Ingalls & Snyder: And can those product lines be brought into the US and grow, you know, offer new products into your channels here?
Frank C. Sullivan: I think, you know, the obvious answer to that is yes but I could not tell you the specific plans or details because I am not aware of them.
Rosemarie Morbelli - Ingalls & Snyder: And then lastly, if I may, you talked in your remarks in the press release actually, of an important capital improvements in marketing initiatives. Could you give us a little more details by what you mean by that?
Frank C. Sullivan: One of them is the one I just mentioned. We continue to look, even during this challenging recessionary period, for growth opportunities and investing in a start-up aerosol and small project manufacturing and filling line in the UK, was one of those. And we did that last year and that is bearing fruit in terms of market sharing gains in that market and in continental Europe. And we have continued to expand our product offering and invest accordingly with our Tremco Illbruck businesses and they are serving the UK, European and centrally eastern European markets, even into Russia. So that continues to be an area we have invested in. So those are just two examples of some capital investments that we made towards growth initiatives despite what has been a very challenging time. Lastly, we are picking up, and this is part of our expense base and perhaps an increase in our expense base in the fourth quarter and in the summer and you will see a much more aggressive market in advertising campaign by many of our consumer businesses around some of their new products and some of their core products. So that is what that was meant to reference.
Operator: Your next question comes from Ivan Marcuse of KeyBanc Capital Markets.
Ivan Marcuse - KeyBanc Capital Markets: A couple of quick questions. How much was the weather impact in the third quarter?
Frank C. Sullivan: It is hard to say but we expected, it is really the month of February which traditionally is… Our third quarter is seasonally low and December and January are just seasonal low months and we struggle at the operating line and have for most of our history to show profitability then. February in a lot of our product lines is where spring load-in starts to happen and some of those were deferred because of weather. And it’s also you know to the extent that you get decent weather where some of our industrial businesses like re-roofing start to pick up. Especially in regions like the mid-Atlantic and the southeast and places like that. And that just did not happen in February. So it’s really about the month of February which typically is the beginning of the seasonal pick-up for us and didn’t happen. But I can’t quantify or won’t quantify specific dollars for you other than to say you know our suspicion that that was the case has certainly been realized because our March is quite strong.
Ivan Marcuse - KeyBanc Capital Markets: Okay would you say the majority of the weather was in consumer segment? Or was it split between industrial and consumer?
Frank C. Sullivan: A little bit of both. I think it impacted the consumer more. But it impacted some, like Tremco Roofing, of our industrial businesses quite significantly. But on the whole, given the fact that industrial’s a better part of two thirds of our revenue base, and more of our global international business, it impacted proportionately our consumer businesses more than our industrial businesses.
Ivan Marcuse - KeyBanc Capital Markets: Kelly, I might have missed this, how much in volume was consumer up in the third quarter? And also in industrial.
P. Kelly Tompkins: In terms of Q3 Ivan, volume and consumer unit volume was down about 2 % and industrials down about 0.5 %.
Frank C. Sullivan: But on a year-to-date basis consumer’s up about 4 % unit-wise?
P. Kelly Tompkins: Unit volume’s up about 4 year-to-date that’s right.
Ivan Marcuse - KeyBanc Capital Markets: And for the tax rate in the fourth quarter, what are you thinking?
P. Kelly Tompkins: Still looking at the 31%, 32% rate for full year.
Ivan Marcuse - KeyBanc Capital Markets: And what were raw material costs? Where they up at all for the quarter or were they down?
Frank C. Sullivan: They were stable and they have been for a while. And you know we would anticipate them to be stable or perhaps you know marginally up in the fourth quarter. But not having a discernable impact.
Operator: And with no further questions in the queue I would now like to turn the back over to Mr. Frank Sullivan for closing remarks.
P. Kelly Tompkins: I’ll wrap up here with a couple of comments. This is Kelly. Just wanted to say on behalf of our colleagues here, both Frank and Barry, we want to thank you for your participation in today’s call and your ongoing investment in RPM. Also want to recognize our RPM colleagues around the world who once again have done a phenomenal job of managing through what certainly has been a great recession. And whose efforts have returned RPM to our more usual pattern of consistent growth and sales and earnings. And certainly we look forward to discussing our full year results on July 26, this summer. So with that we’ll wrap up and thank you all again for participating in the call and have a great day.
Operator: Thank you for joining today’s conference. That concludes the presentation. You may now disconnect and have a great day.